Operator: Ladies and gentlemen, thank you for standing by. I’m Vicky, the Chorus Call Operator. Welcome and thank you for joining the DHL Group Conference Call. Please note that the call will be recorded. You can find the privacy notice on dpdhl.com. Throughout today’s presentation, all participants will be in listen-only mode. The presentation will be followed by a question-and-answer session. [Operator Instructions] I would like now to turn the conference over to Martin Ziegenbalg, Head of IR. Please go ahead, sir.
Martin Ziegenbalg: Thank you and a warm welcome and good morning to everyone out there. Thanks for joining on our Q1 call. Well, it’s less than nine weeks ago that we sat here talking you through Q4. So here we are this time around with Melanie Kreis, our Group CFO, who will take you through the presentation. And after that, we’re looking forward to your questions. Melanie?
Melanie Kreis: Yeah. Thank you very much, Martin, and hello and good morning to all of you also from my side. Thank you for joining our Q1 call today. Yeah, as Martin said, it was only nine weeks ago that we gave the guidance for the full year and talked about what to expect. So when we look at our Q1 results today, the quick summary is that the Q1 developments have actually been very much in line with our expectations as we discussed in March. So I think the key message is no surprises. Looking at the bigger picture and kind of like where do we stand in the whole macro development, there are some encouraging signals. But we have so far not seen any strong and dynamic acceleration in end demand, and that, again, is totally in line with our guidance assumptions, and on that basis, we fully confirm our guidance today. Against the current macro background, CapEx and cost control remain our main focus for now. But as we always have done in a balanced way, meaning that we also continue to invest into attractive future growth opportunities and that we implement cost actions with the aim of structurally improving productivity, so that it’s not so much just a short-term focus, but also positioning us well for the medium- and long-term perspective. And this balanced approach is also made possible by our financially healthy position. Yes, earnings and cash flow numbers are down from pandemic peak levels and year-over-year. But we are posting very good earnings compared to 2019, especially with regard to free cash flow and I think that is a very encouraging sign also in light of the prolonged cycle low in the industry. Talking about the industry and the cyclical movements, turning to Page 3, we are showing the B2B volume development in our most cyclical businesses, air, ocean, freight and the B2B volumes in Express. And on the next pages, we will talk about how have we reacted to these movements. So now, we have seen a nice rebound in air and ocean freight volumes with plus 5% growth and plus 7% growth, respectively, and that shows that our Global Forwarding division is participating well in the volume rebound. However, for the market itself, the growth is mostly reflecting the double-digit declines seen in Q1 of last year when inventory destocking was still in its most pronounced phase. On a sequential basis, and that is something you can also see in our DGF chart on Page 14 in the appendix, there is no real dynamic acceleration in end demand just yet. So year-over-year growth, but also impacted by the comparison level in Q1 2023. When we turn to the Express B2B volumes, they have shown, as usual, a much less pronounced swing over the cycle. So when you look at the yellow line, the whole volatility was much less than the red and dark gray line. But here, as well, we see no underlying acceleration and growth yet. That does compare well to growth rates seen in TDI-equivalent products in the industry. So it is really, for us, the market, the fundamental Express engine is fully intact and ready to ignite again when volumes come back. Turning now to Page 4 and our short-term priorities on the cost side. So what is different about this freight cycle is the prolonged length of the downturn. For us, this means that we are executing our well-established earnings protection plan, EPP, since late 2022. And that is clearly not an enjoyable experience for the organization, but the colleagues understand why we are doing it. EPP has, among other effects, brought down our FTE numbers in Express and Forwarding. And that now drives a significant improvement in DGF productivity now that the volumes swing back. Driven by these measures, we can also see a bottoming out in Express productivity metrics. I’ll talk about that again in a couple of minutes when we take a look at the overall Express flow through the network. Besides the classical cyclical countermeasures, like adapting our air fleet to the volume development, we have also continued to drive structural improvement in our indirect costs across the Group. That’s what I already mentioned on the first page, that we are really looking for opportunities, also through digitalization, to fundamentally improve how we do things, which will also benefit us going forward in the upswing. Now turning to Page 5 and CapEx, you will have seen in our free cash flow development that we flexed down our CapEx spending. And like with the cost measures, we are here as well acting out of a position of strength, meaning that we have cut CapEx on those projects that would have secured more short-term volume growth. However, we have not implemented cuts that would harm our long-term positioning, so we have pursued investments in structural future growth along the examples shown on this page. I think nothing new, you’ve seen that before, but it is worth pointing out that as well. All these measures, turning to Page 6, have supported our Q1 performance, which developed overall in line with our expectations and guidance assumptions. I have already mentioned that a couple of times, but that is really one of the key themes, obviously, for Q2 -- for Q1. So now when you look at the different divisions on Page 6, starting with the DHL division, which had, again, nice year-over-year EBIT growth; Supply Chain, this division continued its steady earnings growth path. In the current macro context, that is mostly driven by its strong pipeline of new contract startups. The other division, which posted year-over-year EBIT growth, P&P, that is, of course, quite pleasing to see. We have seen a rebound from the strike-impacted previous year’s numbers, so a good start into the year, and with the Q1 results, P&P is now well on track towards the full year guidance. But I think that also has to be mentioned, not yet on a sustainable earnings level. We will need the new postal law to provide us more flexibility on mail pricing and costs to get to a sustainable earnings level for P&P. That is in the making, so a good start into the year under the conditions of the old postal law for P&P, well on track also for the guidance 2024, but the big future factor is the new postal law. Yeah, Forwarding, EBIT is as expected down versus the still elevated post-pandemic levels of last year, but the quarterly run rate is stabilizing, supported by the return of volume growth, and eCommerce is seeing continued topline growth from the structural shift to online shopping, so the business model is intact. When you look at the year-over-year decline, I think, what you have to bear in mind is that we keep investing into the growth of this division, so the biggest element in this decline in EBIT is actually the increase in depreciation, and that is, of course, this conscious decision to invest into future calls. That takes me to Express, which I know is in the center of your attention. I think here the clear message is that Express division delivered on expectations for Q1. We have repeatedly received the question, why the prolonged downturn seems to have an incrementally worsening effect on Express and that is why we have now included two extra slides to explain where we currently -- to explain where we currently stand in Express and what drivers will be supporting our growth path towards 2026. So, Page 7, we call it Express Deep Dive. What we have tried to show in this slide is the typical path of a TDI Express shipment through the network, and I think, what this graph illustrates is that, the countermeasures can mitigate but not fully offset the negative operating leverage across the network. Of course, we have significantly reduced our air capacity, but we also want to maintain a premium quality transit time in our network and that is why we don’t flex down even more on the aviation side. We could, but that would then have a detrimental effect on service quality. So, I think, we are currently taking the conscious decision to run at these low weight load factors in both the intercontinental and the regional air networks. On the positive side, when you look at kind of like local operations, we are beginning to now see a turn into the positive direction. So, for example, daily pieces per FTE in our hubs, stops per on-road hour in pickup and delivery were again slightly up year-over-year in Q1. That is where we see the impact of our cost countermeasures taking effect, but also a slowdown in the volume decline. So, when you look at it overall, the whole network is currently still less utilized than it should, but key KPIs are now broadening out, and I think, the most important news is that, operating leverage will return and will work in our favor once volumes come back and volume growth reaccelerates. That takes me to the midterm perspective. As we show on Page 8, our current measures and the improvements implemented over the last years allow us to post a higher EBIT level today than pre-pandemic. That is what you see with the yellow bar and that despite the comparably much lower weight load factor, that is the red line. We also do support the expected cyclical turnaround by further dedicated actions to leverage additional growth opportunities on the one side and to foster incremental sustainable productivity gains, notably supported by digitalization on the other side. Not very much different from what we are also doing in the other divisions and across the Board. So, the common feature, both with regard to the short-term countermeasures, as well as with regard to our midterm EBIT growth expectations, is the established yield management toolbox. That’s an element which is important both short and in the long run. And here, our general price increase is, of course, extremely relevant and we see here, again, a very good stickiness in the first quarter of 2024. This brings me to our guidance discussion and Slides 9 and 10. And these pages are actually totally unchanged compared to what we showed you in March. The current market development confirms our expectation that the first half of 2024 will not yet benefit from any dynamic market acceleration. At the same time, the return of volume growth in Forwarding, as well as the uptick in economic indicators and growth expectations can be taken as encouraging signals that should point to an improvement in the second half of the year, again, as we have assumed in our guidance. So, what does that mean for the current quarter? It’s obviously still early in the quarter and there are mixed signals. But for now, I would not expect significant quarter-over-quarter EBIT improvement yet, i.e., I would expect Q2 to be more in line with Q1, but that as well is in line with our full year guidance assumptions. Yeah, so Page 10, assumptions look right so far. Guidance on Page 10 is fully confirmed across all metrics. And that already brings me to the wrap-up on Page 11. There are probably three key messages I hope you will take away from today’s call. So, the first one is, as industry metrics have not yet accelerated dynamically, we remain fully focused on cost and CapEx control, but we do that in a balanced manner. And that means that we always take the structural perspective and do what will really make us more efficient in a sustainable manner. So that we exit this downturn in a structurally better cost position. And the third message is a message which we also strongly push internally. We just had a town hall, we have another one this afternoon. And I think here, one clear message to the colleagues is, yes, the current market is not entirely easy, but there are opportunities out there. Opportunities which will allow us to drive growth. For example, in areas around eCommerce, sustainability, in attractive regions and verticals. So, in that sense, and that’s the third headline here on Page 11, 2024 is also a year of opportunities. Overall, we are fully confident that we are finding the right balance to manage the short-term, while we will clearly benefit once markets reaccelerate. And with that, I look forward to your questions, and Martin, over to you.
Martin Ziegenbalg: Thanks, Melanie. Nice and quick. And with that, Operator, please initiate the round. We will have the sequence like we received your registration. In order to make sure that all got the opportunity to ask their questions, I would encourage you to limit your number of questions in the first round two, three. And let’s go now, Operator, with the Q&A.
Operator: Thank you. [Operator Instructions] The first question is from Muneeba Kayani, Bank of America. Please go ahead.
Muneeba Kayani: Good morning, Melanie. My first question, just wanted to follow up on your comment on 2Q and don’t expect a significant quarter-on-quarter improvement. Can you just give us some more color on what you’re seeing right now in terms of the B2B and eCommerce demand across the segments? That’s the first one. And then secondly, on the Forwarding segment, so we’ve heard from your competitors looking to increase market share with a focus on large customers. How do you generally, like putting aside the macro development, how are you viewing the competitive environment in Forwarding and kind of what is the DHL strategy here, and especially to kind of improve from the current conversion ratio? Thank you.
Melanie Kreis: Yeah. Thank you, Muneeba. So starting with the current trading and what do we see now as we’re just closing the books for April. I think it’s not very much different to what we saw in terms of dynamic in Q1. So on that basis, and again, it’s early in the quarter, we feel that probably the prudent assumption is that Q2 will continue still in a similar way to what we now saw in Q1. Mixed picture, some indicators turning back into growth, also eComm in terms of volume growth, fundamentally very healthy story, but no fundamentally change in dynamic growth of the global macro environment. With regard to the Forwarding competitive environment, yeah, that’s an interesting question. There’s obviously quite a lot happening. I mean, first of all, we obviously still have the Schenker sale ongoing. That company has now been in the market for quite a long time and that is never an easy situation, and that is also something which we see. On the Kühne side, obviously their internal decisions to make organizational changes has shaken the organization quite a bit, which is something we also see and hear quite loudly in the market. We focus on our approach and our strategy. So I think in terms of sector focus, we have some very clear sectors which we pursue in Global Forwarding as attractive growth sectors. So for example, there are nice chunks of eComm growth business out of Asia which are attractive for the Forwarding colleagues. We are focusing and have done that for a long time on the B2C, the Business Customer segment. We are also now on the back of our better digital visibility and the easier onboarding procedures. We can now target those smaller customers in a much more effective and efficient manner than before. So we have a very clear path for us and we are convinced that this will now give us good growth opportunity going forward, which takes me to your question on the conversion. I mean, we are at 28% conversion, which I think is a good number at this point of the cycle. Aspiration is obviously to get back to above 30%. We are always a bit reluctant to compare one-to-one with what competitors are posting for the same KPIs because there are different definitions and what is really included. So for us, the benchmark is with ourselves to really make sure that we get back well into the 30% area.
Muneeba Kayani: Thank you.
Melanie Kreis: I hope that answers your question. Thank you.
Martin Ziegenbalg: Thanks, Muneeba, and over to the next caller, please.
Operator: Next question from Sathish Sivakumar, Citigroup. Please go ahead.
Sathish Sivakumar: Thanks again for taking the questions. I’ve got three questions here. Firstly, on the Express segment, can you like comment on the Asian eCommerce impact that you had an impact on the network cost back in Q4? What does it mean in quarter one? Have you seen similar impact or it is kind of now kind of sorted out in terms of network imbalance? And again, on Express, across your portfolio, like, what is the impact of airport tariff charges? Does it have the same impact, say, what the passenger airlines face in terms of airport tariff going up and where does it stand for DHL Express network here? And the third one is around, again, just on Express again, in terms of weight impact, you did flag that B2B volumes are actually having an impact on the weight mix and is there any regions or the market that actually stands out in terms of this weight mix impact playing out? So do you, just -- like, is it mainly European-driven or North American-driven in your portfolio? Yeah. Thank you.
Melanie Kreis: Yeah. Thank you, Sathish. So on the first question, the Asian eCommerce impact on Q1 compared to Q4. So the Q4 impact was more pronounced, because that was also happening in the peak season when there was really this surge of volume out of China and that led to capacity constraints on the aviation side. So, obviously, off-peak in Q1, the tightness of the situation is eased and that is also something which we saw in less imbalance now in Q1. The second important thing is and that is also something we talked about in March, so we are, of course, also constantly reviewing pricing and conditions for those more volatile customers and we have implemented some price measures here which will come into effect in the second quarter. So that is something that you haven’t seen in Q1 yet, but which is taking effect in Q2. On the second question, if I understood it correctly, airport surcharges, does that have a similar effect for Express compared to passenger aircraft? The answer from my perspective is no, because, of course, we have different arrangements with the airports, especially for our larger hubs. Those are very long-term arrangements. And on the B2B rate mix and kind of like the regional question, is there a region where we see things in a more pronounced way? Probably the one region I would point out overall, because here B2B is weaker than in other parts of the world, is Europe. And of course, given that B2B shipments are heavier than B2C shipments, that then also has a rate impact. That is also one of the reasons for our H1, H2 phasings, because H1 2023 was still not so bad for Europe in Express. It then got more challenging in the second half of the year. So for Express Europe particularly, the comps in the second half of the year will be much easier.
Sathish Sivakumar: Got it. Thank you. Just to follow up on that price increases for Asian eCommerce, I assume that’s just very specific to the Asian eCommerce names, right, or is it -- okay. Got it.
Melanie Kreis: No. That’s very specific there and that’s probably also one thing I can already flag, because that is something I now expect for the rest of the year. So those shippers in certain lanes gave us quite a lot of volume with relatively little weight. So if we are now taking pricing action and reduce the number of shipments in the network, that will be a bit of a headwind on the TDI shipment-per-day volume growth, but not necessarily at the detriment of the profitability development.
Sathish Sivakumar: And it’s not just a flat price increase?
Melanie Kreis: Yeah. Yeah. It’s really kind of like the co-op pricing there, and we know that from other eCommerce customers and something we have also talked about for a number of years now, you just have to be very agile on pricing for these customers. That’s very different to a steadily growing, more predictable B2B customer.
Sathish Sivakumar: Thanks, Melanie. That’s very helpful. Thank you.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thanks for that, Sathish, and over to the next caller then.
Operator: Next question from Johannes Braun, Stifel Group Europe. Please go ahead.
Johannes Braun: Hi. Good morning. So two questions from my side. The first one, there was some renewed talk recently, and I think, it’s mainly in German press, about the structure of the Group, whether it would make sense to separate the German mail and parcel business from the rest of the Group or whether DHL Express was better off alone. Obviously, all not really new, but I guess, it reflects to some extent the frustration of investors about the ongoing low valuation of the Group. So I was just wondering any updated thoughts on those topics, new ideas on how to improve the valuation of the company and crystallize value? And then secondly, just a quick one on Express. What was the impact from currency and fuel in the quarter, and where do we stand in terms of emergency surcharge and the fuel surcharge at this stage? Thank you.
Melanie Kreis: Yeah. Thank you, Johannes. So, on the Group structure, yeah, indeed we had questions about particularly P&P at the AGM on Friday, where Tobias’ clear answer was that, we think that we are the best suited company to provide the universal service obligation here in Germany. But what we need in order to do that in a financially reasonable way is the new postal law. So I think, as we already said, unfortunately in 2023, but it also holds true for the year 2024, we are in this in-between state where we make a reasonable profit in P&P. Last year €870 million, now we have a guidance for more than €800 million. That is not enough in the medium-term. If we want to keep investing into profitability for the future transformation from letters to parcels and into sustainability, we need to come back to more than a billion for P&P and for that we need the new postal law. If we get the new postal law, then we are confident that we can achieve that and then it’s very clear that with this over time becoming the dominant parcel player in the largest European economy, there is a place for P&P in the family. So, long answer because I also wanted to explain a little bit the overall thinking around P&P. In terms of the valuation, yes, of course, that is something we are observing as well. I think at the moment we have to get the new postal law. There is also the lagging effect of the sell-down of KfW, so I think we keep calm and carry on and focus on delivering solid numbers. That takes me to the currency and fuel question. So, we didn’t quantify it because it was not such a dominant effect like in Q1 of last year. It’s a headwind in Q1, but we don’t want to make it a habit to always explain what is happening here. So, it is a headwind, but for me, more part of the ordinary course of business.
Johannes Braun: All right. Thank you.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thank you. And Alex Irving, I think, is next.
Operator: Next question, Alex Irving, Bernstein. Please go ahead.
Alex Irving: Hi. Good morning, Melanie. I hope you’re doing well. Two from me, please. First of all, you’re talking about encouraging signals for H2 demand. Could you please expand on that? If I look at it may be slightly naively, European manufacturing PMI is contractionary as we’re getting worse for the last few months. What are you seeing that makes you more optimistic for H2? Second question, really helpful call today on the impact of cyclical weakness in Express volumes and how that impacts the network. But what do you expect shipments or even EBIT to look like once we get through the soft patch? Should we be just taking, say, GDP growth versus 2019 and adding an estimate for the increase in eCommerce penetration or is there more nuance we should be taking into account here? Thanks.
Melanie Kreis: Yeah. Thanks, Alex. So, two interesting questions. So, first of all, on the H2 optimism, I mean, we don’t have the crystal ball either. I think at this point in time, when you look at the different macroeconomic indicators, if you want to be positive, you find positive signs of encouragement. So, for example, spot rates, ocean currently up, Asia to Europe, which could be interpreted that there is a little bit of revival in the European economy. At the same time, you find statistics which show that people are not totally optimistic. So it is a totally mixed bag. I think for me, the biggest support for the expectation that things will get more dynamic in the course of the year is that this is really an extraordinarily long period of macro sluggishness. So, are inventory levels completely depleted? That really depends on the region and the sector. But given how long we have now gone through restocking, it is quite obvious that once demand picks up again, there will also be the need to move stuff around and that is what we will see eventually. I am quite convinced of that. In terms of Express cyclicality, what to expect, where to go to? Yeah. So, I mean, we saw another pandemic in the years 2021, 2022, what Express is capable of, in terms of absolute EBIT, but also in terms of EBIT margins. So, in a situation when we get a good operating leverage and good volume into the network, we are quite confident that over time we should move back into that direction. That is obviously also a very important pillar for our 2026 overall Group guidance. I think the other ingredients, being extremely smart and experienced on the pricing side, tapping growth opportunities early on, developing customers, the new customer portfolio. I think the Express colleagues are really the most experienced team out there and that gives me confidence, if we get a bit of volume tailwind, the other pieces will fall into place.
Alex Irving: Thank you very much.
Martin Ziegenbalg: Alex…
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thanks, Alex. Good. Doing good progress. Next caller, Parash.
Operator: Next question from Parash Jain, HSBC. Please go ahead.
Parash Jain: Lovely. Thank you for taking my question. If I may have two. First on the Express side, given the last two quarters where we have seen some sort of dis-synergy or -- with respect to the route mix, how should we think the trajectory in, let’s say, not a sharp recovery on a B2B volume? Do we have a structural cost that we take out and is it fair to assume, therefore, that we have seen the trough EBIT margin for the Express business? And secondly, for your Freight Forwarding business, with the Red Sea situation if stands for the remainder of the year, how should we see the normalization of yield for your Freight Forwarding business? Are we almost there or because of the Red Sea means that once the situation normalizes, probably, there is some more way to go for Freight Forwarding before it finds its feet? Thank you.
Melanie Kreis: Yeah. Thank you on the Express question in terms of Express structural trade line balance. So, I think, what we talked about in Q4 was a bit linked to what Sathish already asked about the kind of Asian eCommerce peculiarity where we really had this very strong demand surge in Q4 out of China. I think, overall, our Express network is fairly balanced. So we also have a very good experience in adjusting the network to different growth patterns. For many, many years we had the statistics showing which region was growing fastest in each of the quarters. It’s still in the stat book. So I think we are in a very good position to adjust the network and the cost base to where growth will pop up first. In terms of Global Forwarding and the rate normalization question. Yeah, I mean, that’s quite interesting. When you look at the Forwarding page in the backup of our presentation, you can actually see that GP per tonne and per TEU was up in Q1 compared to Q4.
Parash Jain: Yeah.
Melanie Kreis: But I would not over-interpret that, right? So, I think that is also a little bit linked to Q4. Maybe you also saw a little bit of the China outbound impact in Forwarding. When you look at where do we stand in the normalization, I would say that, on air freight we have come a long way. On ocean freight, comparing that to historical levels and also taking into consideration how much additional capacity will be coming into the markets in the next quarters, I think, that directionally we have more way to go in terms of normalization. As usual, you can then have the short-term bubbles. Is it Red Sea? Is it a short-term spot rate peak from Asia to Europe? But that’s for me more part of the normal Forwarding business. So, I think, directionally probably more normalization to come on the ocean freight side.
Parash Jain: Perfect. Thank you so much and have a good day.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thank you, Parash. And next would be Andy Chu.
Operator: Next question, Andy Chu, Deutsche Bank. Please go ahead.
Andy Chu: Thank you. Good morning, Melanie, Martin. A couple of questions, please. On Express in terms of the emergency surcharge, what was the impact please in Q1? And in terms of Express for Q2, have we seen the bottom in absolute EBIT, do you think, in Q1? And then my second question is around what your customers are telling you. Clearly, you’re at the forefront of Supply Chains. Are your customers overall being a little bit more confident on the outlook to support sort of a second half recovery? Thank you.
Melanie Kreis: Yeah. So on Express, the impact of the emergency service surcharge, I mean, that has now been going down for many, many quarters and we had in Q1, again, a negative effect year-over-year from the ESS, but it’s not so material that we made a big noise out of it, and I wouldn’t even call it kind of like a one-time effect. That’s part of the normal business. So, yes, a bit of headwind from ESS in Q1, but not overly dramatic. In terms of Q2 EBIT for Express, I mean, it’s still early in the quarter, so I’m not going to give you a specific indication for the Express Q2 EBIT. I think, what I’ve said generally about Q2, that we expect that to be more in line with Q1 before we then anticipate the acceleration in the second half of the year. That would also hold true for Express. And then on the customer question, are they more confident or not? Here, again, it’s a very mixed bag and you have very positive customers, you have people who are still more skeptical. I think maybe one interesting trend I could highlight here is, a big debate is at the moment the impact of the Chinese eComm players, what they are doing to the air freight capacity market out of China overall. Because that has been really a little bit of a seismic shift in the fourth quarter, when all of a sudden some players popped up which hadn’t taken up a lot of air capacity before and are now really impacting the overall dynamic, and that is one of the structural questions which is very high on customers’ minds.
Andy Chu: Thank you very much.
Melanie Kreis: Thank you, Andy.
Martin Ziegenbalg: Andy, currently three names left.
Operator: Next question from Marco Limite, Barclays. Please go ahead, sir.
Marco Limite: Hi. Good morning. Thanks for taking my question. I’ve got one question in Express. I remember from the past that you used to be quite vocal about your heavy-weight campaign where you were trying to get rid of, let’s say, heavy-weight type of parcels. I’m just wondering whether these days, given the down cycle, you’re trying basically to get on board pretty much all the volumes you can, and therefore, the attention you pay to the sort of weight per parcel has reduced and that’s clearly, let’s say, an headwind for profitability short-term and could be a further tailwind to profitability once volumes recover? And the second question is still in Express, a very quick one, but I was wondering whether, the load factor chart you show in Slide 8, you’re clearly not showing what’s, let’s say, the absolute number in terms of load factor, but if you could tell us ballpark what has been the load factor over the last quarter and more or less what was the peak levels that you have achieved in the past? Thank you.
Melanie Kreis: Yeah, and thank you, Marco. So, maybe on the first question, heavy-weight. So, I mean, first of all, for the Express network, the most important thing is to get the pricing right, whether it’s kind of like light-weight B2C stuff or a heavy-weight industrial shipment. And so that’s the one consideration. The second consideration is, of course, depending on what capacity we have available on what lane, we hunt more or less in one or the other direction. So, I think at this point in time, we are obviously interested in getting more volume, particularly also on the B2B side, but pricing discipline comes first, and so I wouldn’t expect a dramatic shift into, oh, we are getting more air freight type of heavy stuff into the Express network. On the weight load factor, you correctly picked up that we didn’t put any numbers on the axis and that’s for a very good reason. I think every number would really need a lot of explanation, putting into context, also compared to competition and that is why we wanted to show you the trend based on the actual numbers, but I don’t want to talk about the detail of the orders of magnitude.
Marco Limite: Thank you.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thanks, Marco. And we continue, please.
Operator: Next question from Mr. Lars Heindorff, Nordea. Please go ahead.
Lars Heindorff: Yes. Good morning. Thank you for taking my questions. On the Global Forward, and two questions, please. The first one is a follow-up on the yield and the normalization of yields. Now, you mentioned in air freight, there’s not currently much about the pre-pandemic levels and hence that’s normalization and we’ll be probably close to that. But in sea freight, just to get a sense for your view about normalized yield levels, if it should drop back to pre-pandemic levels, I don’t know if you believe that normalized, well, then there’s probably roughly 30% to 40% downside, just to get your sense for that and your view on that? And then the second one is on the volumes. How should we think about volume growth in sea and air for the rest of the year? Clearly, you mentioned, easy comps [ph] in the first quarter. Should we sort of think about fading growth in the coming quarters for both sea and air? So those are the two questions, please.
Melanie Kreis: Yeah. Thank you. So, in terms of normalization on the ocean freight side, yes, as I said before, so I think, when you look at how far progressed and advanced the normalization is in air freight and ocean freight, ocean freight obviously has more to go. We are at a comparatively still much higher level than what we see in air freight compared to pre-pandemic. There is a big debate of what will be the end game, where you can, I think, make arguments that it should go back to the old level because so much extra capacity is coming. I think you can also make counter arguments that customers are procuring differently given the experience they made over the last years. I think for me the two things which are relatively clear is A, there is directionally more to go down compared to air freight. And I think, secondly, for us as a company, we feel well positioned to manage that, because, I mean, we are not the asset owner. We are the broker. So, it is a very different game and I think we know how to play the game and looking also at the volume developments, I think it clearly shows that we are managing very well in line with what competitors are reporting at this point in time. So then coming to what to expect in terms of volumes, so I think directionally we should see volume growth in both air and ocean freight in the course of the year. How pronounced that will be or not remains to be seen. That is also one of the reasons why we have this relatively wide range in our guidance for full year EBIT.
Lars Heindorff: Thank you.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thank you, Lars. And currently the last name on the list is Nikolas Mauder from Kepler. Any follow-up? We are still well inside the full hour. Please do not feel discouraged to ask again. Please…
Operator: [Operator Instructions] Next question, Nikolas Mauder, Kepler Chevrolet. Please go ahead.
Nikolas Mauder: Hi. Good morning. Just one left from my side. I have a question about the adjustment in average Express capacity, which has been quantified at minus 13%. Please correct me if I’m wrong, but sort of that figure has -- we have discussed for a while now. I think I put it at minus 15% into my notes and it seems that it hasn’t changed throughout 2023, despite the ongoing volume weakness. I heard your comments on the desire to guarantee premium transit time throughout the network, but still should we think about this figure as sort of the limit in self-help capacity from that side or do you have more if things get worse?
Melanie Kreis: Yeah. So I think could we do more and take more capacity down? The clear answer is yes. Would that be the smart thing to do? We took the decision no. I mean we still have a double-digit EBIT margin here. So, yes, we are not at a position where we would want to do drastic short-term actions, which would then really alienate our customers in terms of service quality and then have a negative impact on how things develop when growth comes back. So, we could do more, but we consciously decided to leave it at that level.
Nikolas Mauder: Okay. Thank you.
Melanie Kreis: Thank you.
Martin Ziegenbalg: We do have follow-ups. Andy Chu first.
Melanie Kreis: You asked for it.
Martin Ziegenbalg: Yeah. I asked for it.
Melanie Kreis: Good.
Operator: A follow-up from Andy Chu, Deutsche Bank. Please go ahead.
Andy Chu: Thank you. Just a couple of follow-ups, please. Maybe just a word, please, Melanie, on CapEx, and obviously, maintaining your full year guidance, but you’re down 15% in the first quarter. And then on Express, are you seeing any sort of trading down from TDI to TDD, please? Thank you.
Melanie Kreis: Yeah. So, in terms of CapEx, we have this relatively wide range in our folio CapEx guidance, €3.0 billion to €3.6 billion. They are obviously looking at what we had in the first quarter. That looks like quite a high number. I think what we are doing now is this, yeah, short-term review of, hey, given how volumes are developing, do we really need the new vehicles, do we need the new service center? I think that’s the right approach. But there is a wish list of what people would like to do when volumes come back. So we will manage that in a very tightly controlled but balanced way going forward. In terms of trading down from TDI to more deferred products. Yeah, I think, that’s an interesting question. So, I think on the B2B side, customers who use Express do that for a very good reason, because they really want the premium features for their time-critical shipments and I think that has been very solid and resilient. On the B2C side, it is a bit of a different game, and that is why we have also much more rotation in B2C customers, right? Because quite often, we have a small B2C eComm customer who starts using Express. But if they then grow, they start upsetting their own logistics distribution network and we’re also quite happy to work with them and support them on that. And then sometimes they switch from cross-border more to, hey, we go with ocean freight to a local distribution center and then it actually goes into the domestic network. So that is more of a normal process. But I would say we don’t see a dramatic change in these dynamics compared to what we had in the past.
Martin Ziegenbalg: All right. Thanks, Andy. And one more comes from Sathish.
Operator: Next question, Sathish Sivakumar, Citigroup. Please go ahead.
Sathish Sivakumar: Yeah. Thank you. I’ve got a couple of follow-ups here. First was on the -- like, on the Express. In terms of emergency surcharges, how should we think about unwind from Q1 into quarter two or into the rest of the year, given that the surcharges are no longer applicable? And then in Post & Parcel, what would be the bridge into Q4, like into the second half of the year, given that you’ve got the wage increases coming through and what’s your assumptions on that €800 million EBIT for the full year in terms of growth, necessity, cost savings and postal law impact as well? Thank you.
Melanie Kreis: Yeah. So, I think, on the Express, ESS, indeed, it’s fading out. So, in terms of year-over-year headwind, that was most pronounced in Q1, because obviously in Q1 2023, we still had more ESS benefits than in Q2 2023. So it will still be a little bit of headwind. But as I already said, for Q1, it’s, yeah, more of an ordinary course of business. We’re not quantifying it. You should also assume that for the quarters to come, it’s not going to be the most material factor out there. With regard to your P&P questions, yeah, I think, a couple of good points you mentioned. The first one is the wage increase. We have the second round of the wage agreement from last year now coming in on the 1st of April and that will be quite a substantial impact. So the estimate is that the current -- that the monthly run rate will have a negative €40 million headwind out of that. That is also what we said last year, that we expect around €400 million in 2023 and €400 million in 2024. So that is all included and digested in our guidance for the more than €800 million in P&P. But that also means that we will now see probably not so dynamic Q3 figures -- Q2, Q3 figures. And then, of course, also like we saw in 2023 Q4, the peak quarter will then be another very strong quarter. The last element you touched upon, postal law impact in 2024. No, we don’t expect a postal law benefit in 2024, but the clear expectation is that we get the new law in time for the 1st of January, 2025, so that we will then see the benefits coming into 2025.
Sathish Sivakumar: Yeah. Thanks, Melanie. Thanks for taking up the follow-up question. Thank you.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thank you. And looks like Alex is going to conclude the Q&A. One more.
Operator: Next question, Alex Irving, Bernstein. Please go ahead.
Alex Irving: Thanks very much. Just one more from me, please. It’s around wage rates in Express. One thing that caught my eye, if I compare your staff costs with your FTE numbers, it looks like wages were up almost 10% year-on-year in the first quarter. Is that a fair assessment and are you finding wages are being forced higher by following some of the agreements that they struck between pilots and employers and U.S. peers or is there something else going on here, please? Thanks.
Melanie Kreis: Yeah. Great question. I think it’s a combination of different factors. The one is that, yes, indeed, we had some expensive wage agreements in some parts of our operations where we see an inflation catch up, but we also have a mixed effect here, because it really depends on how other FTE numbers are developing in the higher wage countries compared to the lower wage countries and that’s a very important factor and the reason why you can’t take the 10% increase one-for-one.
Alex Irving: Understood. Thanks.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Well, thanks, everyone, for contributing with your great questions. That brings us to the end of the call with Melanie wrapping up. We’re looking forward to seeing you over the next couple of weeks on roadshows, conferences and occasions.
Melanie Kreis: Yeah. Thank you, Martin, and thank you all for your questions. Yeah, I think, the wrap-up is a very simple one. Q1 was fully in line with our expectations, and on that basis, we have confirmed our guidance with no changes, so I think a solid start into the year and now we look forward to, yeah, the future developments and then hopefully also the next half of the year a bit more dynamic. Thank you very much and good afternoon to all of you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Good-bye.